Company Representatives: Ariel Emanuel - Chief Executive Officer & Director Jason Lublin - Chief Financial Officer James Marsh - SVP, Head of Investor Relations
Operator: Ladies and gentlemen, thank you for your patience and thank you for attending today’s Endeavor Second Quarter 2022 Earnings Conference Call. My name is Amber and I will be your moderator for today’s call.  All lines have been muted during the presentation portion of the call, with an opportunity for questions-and-answers at the end. [Operator Instructions]. It is now my pleasure to hand the conference over to our host, James Marsh, SVP, Head of Investor Relations. James, please proceed. 
James Marsh: Good afternoon, and welcome to Endeavour's Second Quarter 2022 Earnings Call. A short while ago we issued a press release, which you can view on our Investor Relations site, investor.endeavorco.com. A recording of this call will also be available via that site for at least 30 days. Today you'll hear from Endeavour's CEO, Ariel Emanuel; and CFO, Jason Lublin before we open for questions. The purpose of this call is to provide you with information regarding our second quarter 2022 performance, in addition to our financial outlook for the balance of the year. I do want to remind everyone that the information discussed will include forward-looking statements and/or projections that involve risks, uncertainties and assumptions, as well as described in the Risk Factors section of our filings with the Securities and Exchange Commission, including our 10-Qs and 10-K.  If these risks or uncertainties ever materialize or any assumptions proven correct, our results may differ materially from those expressed or implied by such forward-looking statements and projections. Forward-looking statements speak only as of the date they are made, and we undertake no obligation to update them publicly in light of new information or future events, except as legally required. Our commentary today will also include non-GAAP financial measures, which we believe provide an additional tool for investors to use in evaluating ongoing operating results and trends. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. Reconciliations between GAAP and non-GAAP metrics for the reported results can be found in our press release issued today, as well as in our reconciliations posted on our IR site. With that, I’ll turn it over to Ariel. 
Ariel Emanuel: Thanks James. This quarter continues to showcase the fact that our company occupies an incredible unique position within the sports and entertainment landscape. We're benefiting from various secular tailwinds ranging from sports rights to premium content to live events, and we are also built to withstand many of the challenges that other companies are constantly having to overcome.  We have a highly diverse, but highly complementary portfolio. We have deep category expertise and a global scale across these secular trends. And as it relates to the content, we sit on the supply side of the equation, allowing us to benefit from growing demand no matter the end user.  As a result of our unique position and our continued strong performance across our segments, second quarter revenue is up 18%, adjusted EBITDA up nearly 82% year-over-year. Given these results, and our line of sight into the remainder of the year, we've raised our adjusted EBITDA guidance for ‘22.  Jason will walk you through the specifics of what drove our second quarter performance, but first I'll spend a few minutes on the secular trends we index against and how Endeavor stands to benefit due to the unique offering we've built.  First, as it relates to the growing value and demand for sports rights, there have never been more buyers or greater competition, whether that’s Disney paying a high premium to retain F1 or Apple entering into a 10 year deal worth $2.5 billion for MLS. The U.S. market for rights is at an all-time high. This benefits both our own sports portfolio and the hundreds of sports properties we represent. We're also seeing strong rights demand internationally for both our represented and owned properties.  On the client side, we continue to broker lucrative deals, like the one for [inaudible] in Latin America and signed new clients having recently struck a 12 year deal with the Rugby Football League to completely reimagine the sport.  As for the UFC, the aggregate annual average value of our international deals continues to exceed 100% since we started tracking in the second quarter of last year. We previously shared that we would also be opportunistic and evaluating distribution strategies in certain international markets.  Brazil is the home to one of UFCs largest fan base outside the U.S. and bodes one of the largest percentage of athletes on the UFC roster. It's a market where prospects of going D2C and partnering with a free-to-air distributor recently presented an opportunity too strong to pass up, particularly, when you look at the fact that an estimated 96% of UFC fans in Brazil watch TV through streaming services.  This week we announced that we will launch FIGHT PASS Brazil in January. Beyond the launch of that OTT platform, which will be powered by endeavor streaming, we are introducing free-to-air TV partnership with one of the largest TV networks in Brazil that comprehensive digital partnership is in the works. For the first time we're owning the customer relationship in one of UFC's fastest growing international market. Enabling us to continuously evolve our offering to address what fans want most, and to attract new fans. This creates yet another blueprint to consider as we look at all the options available across markets when the rights come up for renewal.  Beyond the media rights, we continue investing in adjacent businesses to enable us to completely surround live sports experiences. In particular, we're carving out a unique position for ourselves within the growing sports data and betting space, trying to capitalize on more states legalizing online betting in international territories reregulating.  IMG Arena continues to add official data rights to its sports betting client roster, the latest being MLS, and with the upcoming close of the OpenBet acquisition and ING Arena and OpenBet joining forces. We feel great about where this business is headed, both in the U.S. and internationally. As we recently announced, we also negotiated a $400 million reduction in OpenBet’s purchase price, including $250 million in cash savings. Given our enhanced cash position, we plan on paying about $250 million of debt. Now, turning to premium experiences and events. We purpose built Endeavor for the experience economy, identifying early on where the demand of the consumer were headed and carefully assembling the assets and capabilities necessary to capitalize. On the heels of the NFL flipping into on-location ownership stake into Endeavor and on-location becoming a wholly owned subsidiary of Endeavor.  We recently combined our premium experiences and events businesses under singular leadership. This will enable us to foster even greater collaboration between the two businesses and further strengthen our offering for both our clients and our own properties. Across live events, more broadly we saw strong sales from consumers, from general admission to the most high-end experiential offerings.  At UFC we’ve seen 21 consecutive sellouts since resuming live event with audiences coming out of the pandemic, and an increasing number of fans are traveling to fight from out of state. On average, about 40% of fans in the quarter nearly doubled pre-pandemic figures. It's a great indicator of UFC's growing fandom and helpful to us as we look to secure more site fees in the future.  Meanwhile, sales of on-locations UFC Fan Experience at our pay-per-view events were up 300% quarter-over-quarter. At WME, Broadway, Concerts, Festivals and Comedy Tours, which have been slow to rebound have resumed. We've already bookend over 30,000 touring dates this year, putting us 85% of the way to our typical annual total, and our clients represent more than half of music festival headliners in the U.S.  What has also becomes clear in the event space is that there's no replacement for Great IP. We've built a strong asset portfolio, and have a thoroughprocess of identifying new IP and evaluating its potential when dropped into the Endeavor flywheel.  Today we announced that we are expanding into a new events category, with the acquisition of the Premium Collectible Car Auction and Live Events Company Barrett-Jackson. Its prime for the experience economy, and there's no better company than Endeavor to create a one-of-a-kind experience for brands and consumers. We're looking to elevate the Barrett-Jackson brands across categories including on location experiences, content, marketing and partnerships.  Finally, turning to premium content and the enduring value of top talent, we continue to benefit from our unique position as one of the largest talent suppliers. We see no slow-down in demand and spend for all forms of high quality content. We continue closing major multi-year and multi-faceted deals for our content creators across the streaming spectrum like the significant deal for filmmaker Shane Black and Robert Downey Jr., to develop a slate of films and television projects for Amazon.  Meanwhile, our client's current projects continue to perform across platforms. Season 4 of Stranger Things became Netflix’s biggest premiere weekend. Obi-Wan Kenobi became Disney+ most watched original series to-date, and Candy gave Hulu its best debuts since 2021 season of The Handmaid's Tale. We also continue to broker major podcast deals and our clients’ podcast continue topping charts, whether that’s David Gore’s Batman Unburied Stein, Hassan Manak hitting Number 1 on Spotify, or Dick Wolf’s Dark Woods reaching the top of the Apple fiction charts, leading to it now with being developed as a TV series.  And lastly, the box office is delivering across genres and age groups, from Marvel's, Doctor Strange, Jurassic World, Elvis and Minions, all films featuring a significant WME client presence, grossing over $2.5 billion worldwide.  While we're certainly not immune to macroeconomic conditions, we feel great about the diverse collection of assets and capabilities that we've assembled and continue to grow, enabling us to constantly evolve with the industry and the consumer. Given this quarter’s strong performance, our line of sight through the end of the year and our confidence in our ability to continue driving value to our clients and our own properties, we've raised our adjusted EBITDA guidance for the fifth consecutive quarter and look forward to continuing to deliver strong results.  With that, I'll turn it over to Jason. 
Jason Lublin : Thanks Ariel and good afternoon everyone. I’ll start by walking through our financial results for the second quarter. I’ll also provide you some color around what we're seeing in each of our operating segments. All comparisons will be to the COVI D impacted second quarter of 2021.  For the quarter ended June 30, 2022 we generated $1.313 billion in consolidated revenue, up $201 million or 18%. Adjusted EBITDA for the quarter was $306.4 million, up $138 million or 82%. Our own sports property segment generated revenue of $331.9 million in the second quarter, up $73.1 million or 28%, while the segment's adjusted EBITDA was $161.3 million, up $29 million or nearly 22%. Our strong growth in this segment was primarily driven by an increase in media right fees and live events, partnership and consumer products and licensing revenues at UFC, as well as higher revenue at PBR and the inclusion of Diamond Baseball Holdings.  We continue to have record breaking UFC attendance at our live event. All four live events in the quarter sold out and we set gate record at UFC 274 and 275 in Phoenix and Singapore. Additionally, our Austin Fight Night in June became our highest grossing U.S. fight night ever. To-date UFC has had 21 consecutive sell-outs since restarting full capacity events following the pandemic.  During the quarter we also announced a new multiyear media rights deal for UFC with BT Sport in the U.K. and Ireland. As Ariel mentioned, the increase in aggregate AAZ on our international appeals has exceeded 100% since we started tracking in Q2 of last year, and we continue to explore new direct-to-consumer opportunities as we have with by FIGHT PASS Brazil.  Earlier this week we announced the sale of Diamond Baseball Holdings to Silver Lake for approximately $280 million. We expect that deal to close in the fourth quarter.  Now, turning to events experience and rights. The segment recorded revenue of $627.9 million in the quarter, up $99.2 million or at 19% and adjusted EBITDA of $108.1 million up $71.3 million or a 194%. Growth in this segment was primarily driven by the return of live events without restrictions, including music festivals, the masters and NCAA Final Four, our acquisitions at Madrid Open and the NTSA, as well as increased enrollment at the IMG Academy. Revenue was offset by the expiration of certain unprofitable previously disclosed media contracts. Finally, our representation segment, revenue was $358 million, an increase of $29.7 million or 9%, while adjusted EBITDA was $111.2 million up $49.5 million or 80%. The prior year included $78 million of revenue from the restricted portion of Endeavor Content which we sold in January of this year. Performance in this segment was driven by our Core Talent Agency business. We saw strong growth across the board, including an uptake within the music and comedy touring categories, as well as our 160over90 marketing business where we saw increased spending from our corporate clients.  We ended the quarter with $5.7 billion in debt and approximately $1.8 billion in cash. Recently as a matter of financial prudence in a volatile interest rate environment, we increased a notional value of our fixed reporting rate swaps. The new swaps, along with the existing $1.5 billion of swaps already in place, bring our aggregate fixed rate debt to $2.25 billion or approximately 40% of our total outstanding debt.  Based on our enhanced cash position following the reduced open best purchase price, as well as the expected proceeds from DBH, we intend to pay down $250 million of debt by the end of the third quarter. We remain on track to be below our sub-4 time leverage target at year end.  Our Q2 conversion of adjusted EBITDA to free cash flow defined us cash from operating activities less CapEx was over 75%. We anticipate free cash flow conversion of approximately 40% for the year. We remain committed to our long term conversion target of 50% over the next 12 to 24 months.  Moving to our updated 2022 outlook, we are raising our adjusted EBITDA guidance range to $1.13 billion to $1.17 billion, which is $1.15 billion at the mid-point, up $25 million from the mid-point of our prior range, representing year-over-year adjusted EBITDA growth of 31%.  Our full year revenue guidance remains unchanged, primarily driven by the estimated foreign exchange impact of approximately $60 million. Our updated guidance for both revenue and adjusted EBITDA also incorporates the following considerations. The previously mentioned FX, which primarily impacts our E&R segment, the disposition of Diamond Baseball Holdings which we expect to close in the fourth quarter, the acquisition of Barrett-Jackson which we expect will have a negative impact on 2022 due to the timing of their events, revised timing of the OpenBet’s close which we now expect at the end of the third quarter resulting in reduced contribution to the full year, the shift of clients, sponsorships and event related revenue and adjusted EBITDA, the increased investment in on location to IOC initiatives driven by incremental technology and marketing spends, and the impact of COVID restrictions in China, most notably the cancellation of the WGC HSBC Golf Events.  Given our high degree of visibility into our revenue for the rest of the year, a significant portion of which is already contracted, we remain confident in our increased full year guidance.  With that, I'll turn it over to James. 
James Marsh : Thanks Jason and thank you all for joining us today. I’ll hop to our questions. So in order to get through as many questions as possible, I'd like to ask you to please limit yourself to one question.  With that Amber, you can open the lines for questions. 
Operator: Of course, thank you. [Operator Instructions]. Our first question comes from Ben Swinburne with Morgan Stanley. Ben, your line is now open. 
Ben Swinburne: Thank you. Good afternoon. Hey guys! Ariel you already had it, but I got to ask it anyway, because this is the end of earnings and we've been hearing it all month about slowing cash content spend at Disney last night, but going back to Netflix, you know Warner. Talk a little bit about the visibility you have in the pipeline and I'm curious if the shift maybe back towards theatrical for movies, which is something that certainly Warner Brothers highlighted, that seems to be a trend, if that impacts the outlook for the talent businesses. As you think about shifting distribution models, good or better and different. 
Ariel Emanuel: Well. I could have written that question, but if you look at all the players on the buy side, whether they be traditional players from the linear side that have added SVOD and now potentially AVOD, streaming services or the new streaming services. The strategy here was we’re going to keep on evolving. At one point it was just taking all the movies and putting it on their streaming services. Now Amazon’s bought MGM, they are going to go theatrical; everybody shifting and changing.  For us it really doesn't matter. Also it doesn't matter whether they are measuring their subs by the success by subs, by revenue or any of the other metrics that you guys put forward to them. Our strategy has been consistent. They need premium content and we’re on the supply side of the talent equation in that situation. They have to come through us. They are going to have – this is going to change multiple times in this conversation.  I would just say to you that our representation business has been a double digit grower for the last decade. I think we're in early days. There's a lot of more shifting and changing going to happen. But from our perspective we’re positioned to benefit no matter how many platform spend and the strategies they take over the course of the next few years. So we feel very good about where we sit.  If they go to AVOD and they have to change their distribution deals with end users on the other side of it, they are going to have to come to us and change our deals, so we're going to benefit there, and so we're positioned to benefit no matter how the platform strategy is changing.  I think they are all like the Warners, like the Disney’s, you see what's happening with movies that are released from Sony that are now on Netflix, but performing better because they were theatrically released. So this is going to be a constant change, but again all I’d say to you is, we're the largest player on the supply side of the equation and we’ll benefit from all of them. And the last thing I'd say is, I didn't know there was austerity it spending $30 billion on content. So we feel very good about our position on the supply side. 
Ben Swinburne: And can I just ask one follow-up if James will let me on open bet. It’s been a while since you announced a deal. Congratulations on getting the price knocked down, but how is the business performing? Have you got any sense for the expectation you laid out for us you know 10 months ago when you announced it, if the business is performing or if your strategy is evolved or how are you feeling about the outlook here?
A - James Marsh: Yeah, thanks. I’ll let Arie take that one. 
Ariel Emanuel: Our strategy is the same, the business is doing well. There was a timing issue that enabled us to renegotiate portions of the deal. We feel incredible about the business, combining that with arena, where we sit. On that side of the business, that is the supply side again, in that end of the distribution model, and the combination is the most important in the fields right now and with the combination of where we are with IMG Arena, it gives us a lot of force in that space, so there's no change, their business is performing incredible.  Jordan Levin is unbelievable, Freddie Longe from our side is incredible. So it's all going really well. It just was we had the ability to renegotiate the deal, we took advantage of it. Both parties are happy with it and we're going forward. 
Ben Swinburne: Thank you. 
A - Ariel Emanuel: Thanks Ben. Amber, the next question please. 
Operator: Thank you. Our next question comes from John Hodulik with UBS. John, your line is now open.
A - Ariel Emanuel: Hey John!
John Hodulik : Great! Thanks for the question guys. Hey guys! Arie, can we just drill down on the decision to go direct in Brazil. Maybe you know – maybe set the stage for us in terms of what the video market looked like in Brazil. Can you give us any more color on the sort of terms of the deal or your confidence and that you’ll get the dealership and whether or not there's a sort of transition phases as you sort of build up the audience. And then lastly, whether this model could be used in other major markets for the UFC. Thanks. 
A - Ariel Emanuel: Well listen, I would say the following. We're constantly evaluating our options by market to put ourselves in the best position for the long term success. As I stated, internationally we started tracking in the second quarter of ‘21. The aggregate annual average value of our rights has exceeded 100% for those rights. In Brazil specifically, listen, we identified a unique opportunity to own the customer relationship in the fast – one of our fastest growing international markets. It's the second biggest sport in Brazil. There's an estimated 50 million UFC fans in Brazil. 96% of them as we looked at it are UFC fans and they watch TV via streaming services, and so – and more likely than that, the Brazil fan is watching sports online compared to fans of most other sports. So we're going to where the fans are.  We launched FIGHT PASS free-to-air TV with a partnership width band. One of the largest TV networks in the marketplace. We're going to announce the digital partnership there also in the ecosystem. I think it’s really important just kind of in the fly wheel of Endeavor. We’re powering this whole thing with Endeavor streaming which we built and in Brazil they spend more times on their smartphones than any other country, and spent nearly 50% over the last few years.  So it creates a huge kind of blueprint for us to consider as we look to options available across other territories depending on the negotiations, and in gains there yeah, internationally if people don't want to pay what we think are the value of our property, we can go directly in any of those territories. But this was a unique situation, because it's such a big market place. 
Jason Lublin: I would just add to that, you know from a price-to-value perspective, we think we're really pricing this product right in the market. It's going to be the first place we’re putting 100% of our live event content on a digital platform. Subscribers there will have access to all 42 live UFC events per year and we’ll have a more robust ecosystem than we do today with a three-day partner, we're currently in negotiations for both the digital and Telco partner. And regarding transition, we already do have a built-in base today on our current digital platform there, that we think you know will have some conversion and some substantial conversion of that day one. 
Ariel Emanuel: Great! Thanks John.
John Hodulik : Thanks guys.
A - Ariel Emanuel: Amber?
Operator: Thank you. Our next question comes from Stephen Laszczyk with Goldman Sachs. Stephen, your line is now open. 
Stephen Laszczyk : Great, thank you.
A - Ariel Emanuel: Hey Stephen!
Stephen Laszczyk : Maybe just a strategic one. Hey guys! – Strategic one on location. Could you give us an update maybe on the progress you're making on building up some of the capabilities needed at the Olympics in 2024 and perhaps the opportunities you see to scale the application platform once these capabilities are fully built out. Have you guys had any incremental conversation with potential partners or you see any areas of the market that have been opened up to you after signaling some of those intentions to increase your capabilities. 
Ariel Emanuel: So I’ll let Jason take this one. Thanks again.
Jason Lublin: Yeah, so we had ROE and previously talked about increased spend over in the second half of the year in advance of the, you know the Olympics. We are going to make some further incremental spends over the Q3 and Q4 period this year, to enhance the profitability profile and further for Paris 2024. The spend will be increased in digital, as well as marketing, and one of the great things about what we're building it from location is the platform that we are building will have broader implications and be able to use by the broader on-location business post just the Olympics. So it's going to be a great asset not just for a view and can help us maximize revenue, but it'll be a great asset remaining for the organization to use on the potential other partners down the road. 
Stephen Laszczyk : Okay, thank you! 
Ariel Emanuel: Thanks Stephen. Amber, can we have the next question please. 
Operator: Thank you. Our next question comes from Kutgun Maral with RBC. Kutgun, your line is now open. 
Kutgun Maral : Great! Thanks for taking the question. I just wanted to follow up on the FIGHT PASS Brazil news conversation. You know shifting from paid TV to direct-to-consumer, I think it makes perfect sense, but I was hoping you could talk a bit about what the considerations were in terms of going at it alone, as opposed to partnering with another streaming service that's already in the market, and you know for example, again – partnering again with Disney in Brazil.  And I guess second, you know as you approach the launch in January, you know what are the financial implications that we should consider and how quickly do you expect this shift to be a net positive, and I'm sorry, just one last more – one more on this. You know Arie I think you characterized it as a blueprint to consider when evaluating and monetizing your UFC rights. I know that the UFC is a crown jewel in terms of the rights that you have, but do you envision a path like scanning this blueprint with other rights that you either have or manage? Thanks. 
James Marsh: Sure. So, why don’t then Arie jump in on the considerations going along. I’ll have Jason jump back and talk about the financial implications and then we'll talk about the blueprint.
Ariel Emanuel: Well, all I'll say to you is on the Barker side, we have Band. We have Endeavor Streaming, so I don't need any other partners on the streaming side. We have an incredible technology there that does the WWE, NFL, still does the NBA, so that technology exists. I didn't need another partner, it's something that we've built already over a number of years. And it's a blueprint, because from our perspective, as what's happening with global, you know there are linear business, has imploded. If that happens internationally, we have the ability and we'll have the expertise to go direct in any territory. We have a great marketing plan coming into January, so we feel very good about where we are and that market have a huge fan base and a huge fighter base. 
James Marsh: And Jason, maybe if you could just chime in. 
Jason Lublin : Yes. Look, what I would say is upfront you know year one we would expect this to be neutral to marginally positive, but certainly we expect this to be accretive over the long term. Otherwise, we wouldn't be making this decision to go this way in the market.
James Marsh: Any other questions there Kutgun. 
Kutgun Maral : No. I guess just a follow-up, I appreciate the answers. Just would you consider – you already have the technology and the platform. Again, maybe thinking about other rights that you either have or managed and expanding a little bit more meaningfully with streaming. 
Ariel Emanuel: I would just – are you talking about in that territory. 
Kutgun Maral : More broadly. 
Ariel Emanuel: Oh! It’s a case-by-case. I haven’t really thought about it right now. 
James Marsh: Great, thanks Kutgun. Amber, can we get the next question please. 
Operator: Of course. Our next question comes from Jessica Reif Ehrlich with Bank of America. Jessica your line is now open.
Jessica Reif Ehrlich : Okay, thank you. Hi! This is a UFC question, but ESPN seems increasingly selective in what rights they are willing to pay up for. We’ve seen them walk away from IPL Digital and now it seems like they’re walking away from Big Ten after four decades. Does this concern you or do you think it’s more a sign that they are saving up for what is essential to them? And strategically, if you were to go to auction with the UFC in a couple of years, how do you think about the signed companies? If they are the highest bidder, is reach a concern?
James Marsh: I’ll let Ariel take that one. 
Ariel Emanuel : Yes, no problem. So we have three years left on our current ESPN deal and we have a great relationship with ESPN. They’ve talked about how we have kind of helped them grow their direct-to-consumer business.  On a general basis, if you just look at the ecosystem, you know it’s over $1 billion for Thursday Night Football from Amazon, as I mentioned in my opening remarks. Apple is now - in baseball, they just did a $2.5 billion deal with MLS. The EPL rights at NBC went for an unbelievable number. Formula 1 went from $5 million to $85 million. They doubled the NHL rights at ESPN.  We feel really good about the space and the value of sports in the ecosystem, but our relationship could not be better between the Contender Series, The Ultimate Fighter, Fight Night, our pay-per-views, you know they’ve just put us on ABC. We feel really good about where we sit in that ecosystem and the relationship. So we’re feeling very confident, but the whole ecosystem for sports rights is on the way up.
James Marsh: Anything else, Jessica?
Jessica Reif Ehrlich : No. I was just wondering, like with the signed companies, is there any concern at all about reach or is it that money or just how do you think about that?
Ariel Emanuel: I’m not nervous about reach, like I wasn’t nervous about reach with ESPN+. I’m really comfortable with it.
Jessica Reif Ehrlich : Okay. Alright thank you. 
Ariel Emanuel: Thanks, Jessica. Amber, next question please.
Operator: Thank you. Our next question comes from Bryan Kraft with Deutsche Bank. Bryan, your line is now open.
Bryan Kraft: Thank you. Good afternoon. I just wanted to ask you I guess a high-level question. How should we think about your appetite for larger scale M&A in this environment? And is there much out there that’s for sale right now that might be a fit, and you know just how would you think about funding M&A given the rising rate environment, and the higher cost of capital and your commitment to deleveraging the balance sheet? Thank you. 
James Marsh: I’ll let Ariel jump in on the strategic side and then Jason will talk about the balance sheet.
Ariel Emanuel: As it relates to kind of M&A, we’re opportunistic. We make sure that it goes through a rigorous process as it relates to what we can do on cost and how we can grow the business like we’ve always done, whether that be with Madrid, now Barrett-Jackson.  In the marketplace, there’s a lot coming up, but it goes through its process. I don’t identify now what the targets are, but we’ve been a very curious company in the past. If we think something is an opportunity for long-term value, we’ll pursue it, and we feel good about where we sit and when things come into our flywheel, how we can generate greater economic value to them. You want to talk about the balance sheet?
Jason Lublin: Yeah look, I mean we think we have – like we’ve said before, we’re committed to get into sub-4x leverage. We expect to be there by the end of the year. Given our financial profile, the fact that we have a public equity, we certainly think there’s many ways for us to go execute on large scale M&A being committed to making sure on a debt level and a ratio with that expectation revenue that we remain sub-4.
Bryan Kraft: Thank you.
James Marsh: Thanks. Next question please. Thank you, Bryan.
Operator: Thank you. Our next question comes from David Joyce with Barclays. David, your line is now open.
James Marsh: Hey David! 
David Joyce: Thank you. I wanted – hey guys! How are you doing? I wanted to ask broadly if you could touch on the guidance a bit in terms of the cadence this year, and then more granularly feeding into that, if you could help us understand the EE&R business in terms of how much of the revenue comes from seasonal events like Mutual Madrid versus how much is recurring. And also on the representation side, how the streamer spending feeds into the seasonality of spending? So basically, if you could just help us understand you know the components that go into what the cadence of the guidance would be. Thanks. 
James Marsh: Jason jump into the guidance drill down. We’ll get into a little bit of cadence and then just some of the events cadence for the back of the year, EE&R.
Jason Lublin: Yeah. So, what we continuing the say and I would like to reiterate is that we think the right way to look at our guidance is on a full year annual basis. We raised our guidance from Q1 to Q2 by $25 million at the midpoint to $1.150 billion, which is up $55 million from the beginning of the year and represents at the midpoint of $1.150 billion a 31% increase in EBITDA year-over-year. That being said, incorporated into our updated revenue and adjusted EBITDA ranges are among other things, the following: The impact of foreign exchange, primarily in our EE&R business segment, which is adverse to revenues as well, be it a much lower base as to adjusted EBITDA; the shift in the timing of our OpenBet closing, which reduces its revenue and adjusted EBITDA contribution; the removal of Diamond Baseball Holdings revenue and adjusted EBITDA, assuming a closing later this year; the inclusion of the recently announced Barrett-Jackson acquisition, the results which is loss making, slightly loss-making for the balance of the year given the timing of the events; some timing shifts of client sponsorship and event-related revenues associated with adjusted EBITDA.  As previously mentioned, an increase in Olympic spend to enhance the profitability profile even further for Paris of 2024. And lastly, the cancellation - COVID impacted cancellation of HSBC Gulf Event in China this year. So those are all things that are going into our revised forecast for the balance of the year.
James Marsh : Great! Thanks David. 
Operator: Thank you. This concludes the Q&A session and wraps up today’s Endeavor second quarter 2022 earnings call. Thank you all for your participation. You may now disconnect your lines.